Operator: Thank you for standing by, and welcome to EverCommerce Inc.'s First Quarter 2025 Earnings Call. My name is Corey. I'll be your operator today. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone, and you will hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. As a reminder, this conference call is being recorded today, Thursday, May 8, 2025. I would now like to turn the conference call over to Brad Korch, SVP and Head of Investor Relations for EverCommerce Inc. Please go ahead. Good afternoon, and thank you for joining.
Brad Korch: Today's call will be led by Eric Remer, EverCommerce Inc.'s Chairman and Chief Executive Officer, and Ryan Siurek, EverCommerce Inc.'s Chief Financial Officer. Joining them for the Q&A portion of the call are EverCommerce Inc.'s President, Matt Feierstein, EverPro's Chief Executive Officer, Josh McCarter, and EverHealth's Chief Executive Officer, Evan Berlin. This call is being webcast with a slide presentation that reviews the key financial and results for the three months ended March 31, 2025. For a link to the live or replay webcast, please visit the Investor Relations section of the EverCommerce Inc. website www.evercommerce.com. The slide presentation and earnings release are also directly available on the site. Please turn to Page two of our earnings call presentation while I review our safe harbor statement. Statements made on this call and contained in the earnings materials available on our website that are not historical in nature may constitute forward-looking statements. Such statements are based on the current expectations and beliefs of management. Actual results may differ materially from these forward-looking statements due to risks and uncertainties that are described in more detail in our filings with the SEC. We undertake no obligation to publicly update or revise these forward-looking statements except as required by law. We will also refer to certain non-GAAP financial measures in our comments today. A reconciliation of non-GAAP to GAAP historical measures is provided in both our earnings press release and on our earnings call presentation. As a quick reminder, following our announcement in March that we are seeking strategic alternatives for the marketing technology solutions, we've classified marketing technology as discontinued operations. Our commentary today will focus on the continuing operations of our business focus on our EverHealth, EverPro, EverWell verticals. All financial and operating metric results are presented related to the continuing operations only unless otherwise specified. I will now turn it over to our CEO, Eric Remer. Please continue.
Eric Remer: Thank you, Brad. I'll focus my commentary on first quarter 2025 results. As well as our top strategic priorities Ryan will then discuss our financial performance in more detail. Our first quarter reported revenue exceeded the top end of our guidance range. For the first three months of the year, GAAP revenue increased 3.2% year over year on a pro forma basis, which adjusts for the prior year's sale of fitness solutions revenue increased 7.4% year over year. Adjusted EBITDA of $44.9 million also beat the top end of our guidance range, representing a 31.6% margin. Adjusted EBITDA margin expanded nearly 360 basis points year over year. Payments revenue, excluding the fitness solutions, grew 8.4% year over year, driven by nearly 9% growth in TPV. Finally, the board of directors approved a $50 million increase to our share repurchase program, while also extending this authorization to year-end 2026. EverCommerce Inc. provides SaaS solutions to the service desk of the economy. We offer tremendous value to our customers by providing system of action necessary to run their businesses with tailored unique workflows. Adjusted to account for the planned sales and marketing technology solutions we provide end-to-end solutions to more than 725,000 customers across our three major verticals. EverPro for home field services, EverHealth for physician practices, and EverWell for wellness. With the two forward verticals representing 95% consolidated revenue. Our large base of customers represents an immense embedded opportunity to provide value-added features and services like payments and custom rebates, through our purchasing programs. On a pro forma basis, for the last twelve months, we generated $563.9 million in revenue, representing 7.8% year over year growth. Subscription and transaction revenue grew 8.1% year over year. Over the last twelve months, we generated a 30.1% adjusted EBITDA margin. Finally, our annualized total payment volume, or TPV, expanded to over $12.7 billion. Before I dive into our normal course discussion of customer trends, I want to update you on our AI initiatives at EverCommerce Inc. AI is an important part of our forward strategy for multiple reasons. First, embedded AI capabilities into our customer-facing software allow us to innovate faster and maintain a leading competitive position. Second, using AI for development work enables us to more efficiently and more quickly bring new features, functions, and solutions to market. And third, we believe that using AI-driven workflows internally will be a key driver to continue our cost discipline and drive additional long-term margin expansion. Over the past six to twelve months, we have made significant progress integrating AI in our products and our internal workflows. Talent acquisition, we've deployed third-party AI platform features and automation tools across people operations, employee development functions to reduce manual workloads, improve data collection, and create impactful actionable insights. Looking ahead, we expect additional AI use cases to have a meaningful contribution to our products and operations. Before discussing our customer metrics, I want to once again remind you that these metrics have been restated for both the current and year-ago periods to exclude marketing technology solutions. Accelerated payments adoption and utilization continue to be our highest priority. And in 2025, we're making specific investments in our product capabilities and go-to-market motions to prioritize payment attachment at the point of initial SaaS sale. At the end of the first quarter, 244,000 customers were enabled for more than one solution, reflecting 28% year over year growth. As we discussed when we introduced this metric, enabling customers more than one solution is the first step in the funnel that leads to increased revenue retention and ultimate profitability of these customers. Once customers are enabled, the next action item for us is to facilitate usage. In the case of payments, this is getting our customers to actively process on our platform. We measure this step in the funnel as utilization. At the end of the first quarter, approximately 99,000 customers were actively utilizing more than one solution, reflecting 20% year over year growth. Customers that purchase and utilize more than one are naturally some of our most profitable and stickiest customers. As we've illustrated past earnings calls, the effect of more customers taking payments or other add-on features and services is higher net revenue retention. Looking back over the trailing twelve months, our annualized net revenue retention, or NRR, was 97%. Year over year, our payments revenue on a pro forma basis grew over eight and accounted for approximately 21% of overall revenue. As a reminder, we report our payments revenue on a net basis and therefore contribute approximately 95% gross margin. Payments revenue is a meaningful contributor to overall adjusted EBITDA margin expansion. First quarter estimated annualized total payment volume, or TPV, was approximately $12.7 billion, representing nearly 9% year over year growth. As I mentioned earlier, we are making strategic high ROI investments into our payments platform and team, which we believe will result in increased payment adoption, TPV growth, and revenue acceleration. Now I'll pass it over to Ryan, who will review our financial results in more detail, as well as provide our second quarter guidance. Thanks, Eric.
Ryan Siurek: While total reported revenue in the first quarter was $142.3 million, subscription and transaction revenue, our primary revenue base, was $137.8 million, up 3.3% from the prior year period. For Q1 2025, year over year pro forma revenue growth was 7.4% while year over year pro forma subscription and transaction revenue growth was 7.6%. The primary difference between the actual and pro forma revenue growth is attributable to the removal of prior year revenue associated with the sale of our fitness solutions that closed in 2024. The solid performance in subscription and transaction revenue was largely due to continued execution of our growth strategy, to provide customers our core system of action software solutions and driving expansion by promoting cross-sell and upsell opportunities leading with payments. As Eric noted, we also exceeded the top end of our adjusted EBITDA guidance range. First quarter adjusted EBITDA was $44.9 million representing a 31.6% margin versus 28% in Q1 2024, which is 16.3% growth year over year. Q1 margin expansion of over 360 basis points was aided by the timing of certain expenses and investments. With a significant portion of the favorability compared to guidance expected to be reallocated to later periods within the year. On a year over year basis, margins improved due to cost optimization initiatives, mix shift to higher margin products, and overall scale economies. Adjusted gross profit in the quarter was $111.1 million, representing an adjusted gross margin of 78.1% versus 77.1% in Q1 2024. Adjusted gross profit improved largely as a result of a positive mix shift in the business to high margin revenue streams such as payments and rebates. Now turning to adjusted operating expenses, which are reconciled in the appendix to this presentation, overall adjusted operating expenses improved as a percentage of revenue both for the quarter from 49.1% to 46.5% on a year over year basis and on an LTM basis from 49.2% to 47.9%. While the previously mentioned timing of investments and expenses was a factor, the long-term trend of continued operating expense moderation is deliberate. And attributable to both growth of the business and specific actions taken as part of our transformation and optimization program. We maintain our focus on improving the customer satisfaction and acquisition while also highly focused on cost discipline in functional support areas. Now turning to some key liquidity measures, which include cash flow from continuing and discontinued operations, we continue to generate significant free cash flow. As we invest to grow our business. Cash flow from operations for the quarter was $30.7 million, more than double the $13.3 million generated in Q1 2024. Lever free cash flow was $25.1 million in the quarter, and for the trailing twelve month period, we generated more than $110.9 million in levered free cash flow. Adjusted unlevered free cash flow was $34.3 million in the quarter, and $138.9 million for the last twelve months, representing 14.8% and 17.7% year over year growth respectively. We ended the quarter with $148 million in cash and cash equivalents. And we maintain $190 million of undrawn capacity on our revolver. We have $531 million of debt outstanding as of the end of the quarter, which matures in July 2028. Our total net leverage as calculated for our credit facility at the end of the quarter was approximately 2.1 times consistent with our financial policy. We have $425 million of notional swaps at a weighted average rate of 3.91%, for the floating rate component of our interest cost. Owing in large part to our strong balance sheet, cash flow generation and liquidity profile, our board of directors once again increased our share repurchase authorization by another $50 million and extended the program, which was set to expire at the end of this year to year-end 2026. In the first quarter, we repurchased approximately 1.1 million shares for $11.2 million at an average price of $10.08 per share. Based on the recently increased authorization and shares repurchased through March 31, 2025, we have approximately $71.6 million remaining in our total repurchase authorization. I would now like to finish by discussing our outlook for the second quarter and full year of 2025. As a reminder, our guidance for revenue and adjusted EBITDA for 2025 is based on our continued operations, which excludes marketing technology solutions. For the second quarter of 2025, we expect total revenue of $144.5 to $147.5 million and adjusted EBITDA of $39.5 to $41.5 million. For full year 2025, we expect total revenue of $581 to $601 million and adjusted EBITDA of $167.5 to $175.5 million unchanged from the guidance provided in mid-March. Operator, we are now ready to take the first question.
Operator: Thank you very much. As a reminder, at this time, we will conduct the question and answer session. Please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please stand by while we Our first question comes from Kirk Manturn of Evercore ISI. Your line is open.
Bill McNamara: Hi. This is Bill on for Kirk, and thanks for taking my question. Last quarter prioritizing payment attachment at the point of sale versus the future add-on sales motion was mentioned as part of your strategy. How has this been playing out for your sales teams in terms of win rates?
Eric Remer: Yeah. I appreciate the question. Super excited about that. Again, I think that's still a core focus, a core strategy for us. In Q1, we absolutely saw some benefits of that, saw increases in that payment attach with new customers. And it's you know, there's nuance for that as well. We're also doing things like again, integrating that payments, that's selling motion of payments into the SaaS workflow. But, also, we're doing sell behind efforts. So when, you know, a sale goes unclosed, with a closed loss refund, or it's just unclosed, we have our payments team falling behind. So again, a lot of focus on payments attached at the time of software sales. That is that integrated motion, but we're also investing in in addition go to market optimization motions around that as well. And and that's
Bill McNamara: Okay. Great. And then you know, outside of payments integrations, what what do you view as the the biggest upsell opportunity within your portfolio of, you know, EverPro, EverHealth and EverWell?
Eric Remer: Yeah. I'll I'll I'll start, and, certainly, you know, as Evan and Josh wanna chime in from each of their vertical perspectives, obviously, super focused on payments from that penetration execution, it is our largest opportunity. But we're really excited about additional product integrations into our core systems of actions. A couple of examples, some of which we've spoken about in the past, obviously, EverPro Edge, been a big opportunity from a growth perspective over the last year. But additional products that we have from a customer experience solution standpoint. So reviews integrations at systems of actions like Joist and Service Fusion, also create real opportunities for us to expand the perimeter of our existing, systems of actions with additional product capabilities. Evan, would you add anything from the EverHealth side?
Evan Berlin: Yes. Good question, Bill. I I'd just say we talked about it in past quarters from an EverHealth perspective that beyond payments, we're working to move beyond cross-sell. And really working on delivering more value in the packages that we're selling to just given the integrated capabilities we've got within EverHealth. So not just selling practices management and and the DMR solution, but integrated patient engagement, RCM, our insurance clearinghouse in addition to the the kind of payments upsell. So the answer in EverHealth is really around a more integrated package that our small practices can purchase from us. Then certainly as they grow and scale, you know, buy more features over a period of time.
Bill McNamara: Great. Thanks for taking my question.
Operator: Operator, next question.
Operator: Operator, can you hear us?
Operator: Yes. Alex, your line is open.
Alex Sklar: Great. Thank you. Eric or Matt, just in terms of macro, you serve some resilient end markets We've talked about this in the past. But any change in pipeline activity or some of the net expansion you're tracking over the last two months tied to macro or any tariff concerns?
Eric Remer: Yeah. Thanks for the question. You know, we obviously are monitoring it daily with the volatility in the macroeconomic environment. But to date, we are not seeing any degradation in any of our kind of key metrics we follow from lead gen to throughout the funnel onboarding, so on and so forth. So we'll continue to monitor it, but to date, it's kind of business as usual.
Alex Sklar: And maybe just a quick follow-up on that for Ryan. Anything different embedded in the Outlook for potential different changes in in demand environment tied to that macro?
Ryan Siurek: No. When we looked at the full year and we we updated guidance for, you know, Q2 or left the the full year unchanged, We're not making any particular assumption, differently. With regard to kind of the macroeconomic, environment and, you know, things that are in the news currently. Should that change, we obviously would make things updated. We've just continued to be prudent in the, in the guidance that we're giving overall. We feel good about the, you know, Q1 results. But as I said, we we had some expense favorability that we think we're going to continue to move forward into the the rest of the year. And nothing therefore changes for the full year guidance perspective. And just to add on the premise of your question, we we do agree we have really good end markets. That are resilient. We're not immune to massive macro changes that could occur. So that's why, as Ryan said and I said earlier, we're just going to track it closely and make sure that we're doing what we need to do accordingly internally.
Alex Sklar: Okay. And then maybe just one other for me, similar to the first question. But the multiproduct adoption, I think, was a a record sequential growth. And is there anything you can read into that in terms of TPV or payments growth kind of accelerating here in next quarter or the rest of the year? Or is there good cross-sell of kind of other solutions outside of payments? Thanks.
Eric Remer: Yeah. I'll I'll I'll start, and I'll certainly let let Josh add. Again, we're we're excited and remain excited about the opportunity and the progress that we continue to make across payments, although again, lots of field in front of us to continue to drive execution. And growth. Think, again, enablement, as Eric said, is the first step in the process. So excited for the continued and and really solid quarter from a payment attach standpoint. The next step in the funnel is obviously utilization and we're incredibly focused on the go-to-market optimization, that that we're doing, the product enhancements that we're doing, again, we we need to continue to drive SaaS workflow improvements, add to the payment features that we have, and integrate customer success. So those are all things that we're actively investing in. And all things that we believe as we have a greater foundation of enabled customers for payments that we believe that that's going to turn itself into more utilization and ultimately more TPP. And did speak to some of the other other products that we have. I mean, we're also excited about that. I didn't mention, you know, additional homeowner financing and and consumer lending products that we've integrated in, as well as, like I mentioned, EverPro Edge and further integration of our reviews products across our EverPro portfolio. Sorry. Josh, anything you would add there?
Josh McCarter: I think you hit most of it. The only other things I would say is, like, as we're adding and improving the product and adding more ways to pay, that will enable us to capture more TPV. So if we're adding cap pay and more mobile payments and ACH and check capture and so forth, That definitely grows the pie. And then the other point on the product that you brought up, something like Edge, or the reviews, that's also a retention aspect because the more products that a customer buys from us, that's gonna retain them longer and produce a longer lifetime value for us. So those are two other things I'd highlight.
Alex Sklar: Alright. Great. Super thorough. Thank you all.
Operator: Thank you very much. As a reminder, to ask a question, please press 11 on your phone. And you will be loaded into the queue. Stand by for our next question. Our next question comes from Aaron Kimson of Citizens. Aaron, your line is open.
Aaron Kimson: Great. Thanks for the question, guys. I'm sorry if some of this came up. Been jumping around calls. But we think about your 500,000 customers or so in The US, is it safe to assume that most of the potential tariff exposure there is on the EverPro side of the business? And you have any thoughts on what percentage of revenue could be exposed to tariffs?
Eric Remer: Yeah. Again, most of our EverPro business is break fix. So we're not in kind of new starts and major construction. So we're we don't think from a a macro perspective, our customers are going to be directly hit by our specific EverPro customers are going to be directly hit by that. Will some of their supplies potentially and that those costs would pass on to the customer? Will customers, if the macroeconomic gets worse, pull back on fixing nonpredictable things potentially? So we're aware of all the potential pitfalls that could happen. With regard to it. But we're not directly exposed in terms of tariffs hitting our business having a direct impact on our customers.
Aaron Kimson: Got it. And then secondly for Josh, maybe said about six months now to wrap your arms around the EverPro business. Are there any pleasant surprises or particular areas improvement you've identified so far? And I know you joined Mindbody right around the take private, but since investors know that from its public days, are there any lessons from Mindbody you think will prove particularly relevant in running EverPro?
Josh McCarter: Yeah. Absolutely. Thank you for the question. First of all, last six months have been fantastic, and I've to find know, more opportunity in the business, which has been great. And several of the areas, you know, we talked about payments, and I think that you know, we all see that as as one of the largest growth levers across EverCommerce Inc. specifically within EverPro. Outside of that, have a lot of opportunity to cross-sell other products and start building out more features and functions within CES, within marketing products, and then also thinking about other verticals that our solutions can support. Also have another product, that is called Service Nation, which is a training trade show rebate program that I think we just barely scratched the surface on. Right now, we have several thousand participants in in that program, and I think that could could grow significantly. So as as we look at rebates, you heard about Edge before. Lot of those type of programs can bring more people into the fold. Whether they're on those programs or on other, systems of action. So I'm very optimistic and and very positive about about the opportunity that we've grown. Then the question about Mindbody, a lot of the work that we did there was transformational work, and you've heard about the transform and optimize initiatives that we have going across. EverCommerce Inc. And I think a lot of the things that we did in terms of you know, restructuring the sales organization and consolidating down from multiple organizations into one, streamlining different processes. Consolidating down systems, streamlining recording, launching a revenue operations function, all of those type of things that we did at Mindbody are very applicable to to EverPro. We've also built out a great executive team that has experience in these type transformation that's really helping to drive those initiatives forward. Thank you, guys.
Operator: Thank you very much. At this time, I'm showing no further questions, and I would like to turn it back to Eric Remer, for closing remarks.
Eric Remer: Thank you again for joining us today. While we are pleased with the results this quarter, we are much more excited about the trajectory of the business and successes we are seeing on our transformation journey. Look forward to sharing even more with you in the weeks and months ahead. Thanks again.
Operator: Thank you very much. For your participation in today's conference. This does conclude the program. You may now disconnect.